Operator: Good morning, ladies and gentlemen, and welcome to the GDI Integrated Facility Services Third Quarter 2025 Results Conference Call. [Operator Instructions] This call is being recorded on Thursday, November 6, 2025. I would now like to turn the conference over to Mr. Charles-Etienne Girouard, Senior Vice President and Chief Financial Officer. Please go ahead.
Charles-Etienne Girouard: Thank you, operator. [Foreign Language] Good morning, all, and welcome to GDI's conference call to discuss our results for the third quarter of fiscal 2025. My name is Charles-Etienne Girouard, I am Senior Vice President and Chief Financial Officer of GDI. I am with Claude Bigras, President and CEO of GDI; and David Hinchey, Executive Vice President of Corporate Development. Before we begin, I would like to make you aware that this call contains forward-looking information, and we ask listeners to refer to the full description of the forward-looking safe harbor provision that is fully described at the beginning of our MD&A filed on SEDAR last night. I will begin the call with an overview of GDI financial results for the third quarter of fiscal 2025 and will then invite Claude to provide his comments on the business. In the third quarter, GDI recorded revenue of $615 million, a decrease of $25 million or 4% over 2024. This is comprised of an organic decline of 2% and a 2% decrease from business disposal in 2024. GDI recorded adjusted EBITDA of $38 million in the quarter, down $1 million from $39 million in Q3 2024, which represents an adjusted EBITDA margin of 6%, remaining consistent with Q3 last year. On a year-to-date basis, revenue reached $1.84 billion, a decrease of $82 million or 4% over the same period of 2024. Year-over-year revenue decline was primarily due to a 4% organic decline in revenue. Adjusted EBITDA in the first 9 months of the year amounted to $105 million, an increase of $5 million or 5% over the corresponding period of 2024. Our Business Services Canada segment recorded revenue of $144 million in the third quarter, while generating $10 million in adjusted EBITDA, down $1 million compared to Q3 last year. Adjusted EBITDA margin was 7% compared to 8% in Q3 2024. Our Business Services USA segment recorded revenues of $198 million in Q3, a decrease of 11% over Q3 2024. This segment experienced an organic decline of 12% in Q3, which reflects the paring down of low-margin accounts as well as the loss in Q1 2025 of the remaining 20% of a large client lost during Q1 of fiscal '24. In addition, revenue generated from one new customer in 2024 fluctuated based on the volume of recurring project works, which was lower in the third quarter of 2025 compared to last year. This segment reported adjusted EBITDA of $13 million, representing an adjusted EBITDA margin of 7%, an increase of 1% over Q3 last year. The Technical Services segment recorded revenues of $270 million compared to $269 million in Q3 last year. The segment generated adjusted EBITDA of $19 million, which is $1 million higher than Q3 last year, representing an adjusted EBITDA margin of 7% in both Q3 of 2025 and 2024. Finally, our Corporate and Other segment reported revenues of $3 million compared to $4 million last year and no change in negative adjusted EBITDA of $4 million versus Q3 2024. I would like now to turn the call to Claude, who will provide further comments on GDI performance during the quarter.
Claude Bigras: Well, thank you, Charles-Etienne. [Foreign Language], and thanks to everyone participating in GDI's Q3 earnings conference call. I'm relatively pleased with GDI's performance in Q3 this year considering. Our Technical Services segment is continuing to fire on all cylinders. We recorded an organic growth rate of 4% and a record high adjusted EBITDA of $19 million for the quarter. We were able to deliver very strong results despite that we continue to see some clients delay project starts due to some uncertainty in the economy during the quarter. Project backlogs at Ainsworth remained near record high and as do the margins on the backlog. We feel that our Business Services segment performed well in face of the headwinds we are seeing in the commercial real estate in Canada and the United States. In Canada, even though our client churn is more than double our historic rate of 4%, we managed to limit our organic decline to 1%, while adjusted EBITDA came at $10 million versus $11 million last year. The business is holding up quite well despite the market pressures. Our Business Services USA segment recorded an organic decline of 12% during the quarter. We are still lapping the loss of the remaining piece of our largest client of Q1 2025, combined with the paring down of low-margin accounts, as Charles-Etienne was stating. We expect organic growth to stabilize during the first half of next year. Despite the revenue loss, adjusted EBITDA increased to 7% in Q3 versus the same quarter last year as we focus on margin protection and retention going forward and during the quarter. Our outlook for the remaining of the year is in line with what we announced in Q2. We expect some weakness in our Business Services segment and to a lesser degree, in Business Services USA segment due to the economic uncertainty. We are expecting business in this segment to recover well in the first half of 2026. Our Technical Services business is performing well and notwithstanding the global economic uncertainty, our outlook remains very positive. GDI had a solid quarter from a balance sheet perspective. We ended the quarter with a $26 million reduction in our long-term debt, net of cash, coming from a combination of free cash flow and $11 million reduction in net operating working cap and the sales of our noncore property in the province of Quebec for $8 million. Our leverage ratio sits comfortably in the mid-2s, which give us plenty of ammunition to fund on our growth strategy. GDI outlook for M&A is positive as we are dedicated to continue to grow through acquisitions. And we're very -- we are satisfied with the market adjustments we see in multiples. So that makes our activities more promising. I would like to thank our shareholders for their patience and support, and all of my team members at GDI are working very hard to deliver results but are focused on the long term to manage the business. Operator, please feel to open the line to questions for analysts.
Operator: [Operator Instructions] Your first question comes from Derek Lessard with TD Cowen.
Derek Lessard: Yes, Claude, I just have -- actually, my question is related to the Business Services USA segment. I understand the 12% organic decline. But I think in previous quarters, you had mentioned that you had several new clients or contracts that were coming on board that would help offset that. Just curious where you are in onboarding those contracts.
Claude Bigras: Well, listen, you know what, actually, this year, our sales growth was interesting. Unfortunately, the client loss in end of 2024 and '25 was a significant loss that needs a lot of work to compensate. We have -- we still have this large client. But unfortunately, in the last couple of quarters, the quantity of work that we execute for this client was significantly lower than what we did last year. So again, the strategy is we're focusing on sales. Our sales team is everywhere we go. And we are focusing on sales. Now this being said, I don't want us to sell at any price. Our focus is margin protection. At the end of the day, this is what counts. So we're very, very focused on selling at the right price at the right client.
Derek Lessard: Okay. That's helpful. And I guess maybe just curious on your thoughts on when you expect to -- in the same segment to restore sort of that historical organic growth or get back to that historical level.
Claude Bigras: Well, listen, you know what, there is two parts to this answer. The first part is when we have passed the fourth quarter with our large client lost, with our sales strategy, we will get back to organic growth in a, I would say, mathematical way. So again, the strategy, Derek, is to really focus on sales at the right margin. This is the ticket, and growth will come in as we will have eliminated the loss of this large client.
Operator: Your next question comes from Frederic Bastien with Raymond James.
Frederic Bastien: Sorry, I missed Charles-Etienne's comment, but Claude, you mentioned or commented that you were satisfied with the multiple movement you're seeing for M&A. Can you expand on that? Just wondering how aggressive private equity may be in the sector still?
Claude Bigras: Okay. I will be very blunt. Maybe my colleagues will look at me with big eyes, but at least I'll give you my honest answer. Okay. So what we've seen over the last couple of years is there was COVID, there was the surge of margins and profitability. Everybody would sell his mother in the trade and the multiples were just out of my mind. It was almost impossible to do an accretive transaction following COVID. And there was maybe three major players that were actually very active. And so -- but now we passed that. Unfortunately, the three major players are not playing anymore because they've been taken by creditors, almost. So that's behind us. But now we are seeing a more going back to normal approach. People have digested that they cannot expect crazy multiples like we've seen as far as 2 years ago, 3 years ago. So this creates for us an environment where we can entertain discussions that are reasonable. Again, I'm always saying is it's when you make the acquisition that you realize the value, not when you sell.
Frederic Bastien: Great. And then as you look forward, which segment are you going to prioritize? I mean it's a tough question, right? Which channel do you prefer just to put more money into if it's worth these days?
Claude Bigras: Well, listen, you know what, let's break it down into three parts because the strategy has some nuance in each part. Business Services Canada, it's sales and organic growth focused. And you know what, if we can extend our service offering through auxiliary service offering that can help us grow the business, we're all for it. In the U.S., again, our sales team is very active, and we see opportunities, like I said, I would say, accretive transaction going forward. Now I don't want to tease people, but I can tell you that we're very active. And on the Technical Services segment is, again, what I said to you guys last year is we're focusing on margin expansion. So far, I think it has delivered on what we were expecting. For sure, if we have good opportunities, we will look at it, but we focus more on the maintenance part instead of the project part. As you've seen, the revenue is a little lower because we went away from those -- I would say, the humongous project that create a lot of risk. So we no longer play in this place. So I think the margins demonstrate our, I would say, rigor in appraising and delivering on project.
Frederic Bastien: My last question. How are you seeing buybacks in light of your share price right now?
Claude Bigras: Well, listen, I think we feel there's an opportunity. So we're active on it. And as we go, we still have our NCIB in place. So -- and we are maneuvering according to our capacity -- I would say, the arrangement of the NCIB. So yes, for sure, it's an effective price for us as well.
Operator: Your next question comes from Frederic Tremblay with Desjardins.
Frederic Tremblay: Apologies if some of this was already discussed. I joined the call a little late. But on the Business Services USA, can you maybe comment on the sales team's efforts to win new business, including in higher-margin specialized areas like food sanitation and data centers? Has that focus been fruitful so far?
Claude Bigras: Well, it's delivering. You know what, again, I'm very happy of what the sales team was able to accomplish this year. Mind you that if we have not done that, our margin -- not margin, but our top line would have decreased maybe 20%. So we were able to compensate a lot through our aggressive sales. But again, I'm saying it to everyone all the time, we cannot get into the web of selling at discount at these times. We will live with it for 4, 5, 6 years. So we sell, but we still need to keep the margin. So as you've seen, although we have a decline in business service, we did better margin-wise than last year. So that's the ticket. But this being said, I'm totally aware that growth is important and growth will be back, but I want to have a good growth.
Frederic Tremblay: Yes, makes sense. And maybe just on -- still on that segment in the U.S., that one large customer that's seen quarterly fluctuations in their project work, I imagine that you do have some near-term visibility on the work associated with that customer. Is there anything you can point us to in regards to Q4 with that customer in particular? Is that still slow? Or is there a pickup that you're seeing relative to prior quarters?
Claude Bigras: Yes. Well, listen, we were expecting in Q4 that -- I will just say that is a customer that's very active in data centers. So -- and the data center business overall is growing and it's active. But since we have all this -- everything happening in the U.S., it looks like there was a little bit of, I would say, downside, a downturn into the other operations, but we are very confident that it's, I would say, a short-term or a onetime reduction of work, and they will continue to grow.
Operator: [Operator Instructions] Your next question comes from Zachary Evershed with National Bank.
Zachary Evershed: Could you talk us through the customer realignment process and how that impacts your growth trajectory in the next 3 quarters?
Claude Bigras: Well, customer realignment, again, we are replacing lost business for XYZ number of reasons. And I can share with you that if we were losing customer because of service delivery failure, I'll be a lot more nervous. We are dealing with price adjustments that we feel that are not healthy for us long term, but we're replacing this business through having growth in our sales force. Again, this is -- for us, this is a strategy. So the customer realignment come with acquiring new customers at the right price to continue to deliver on the margin. But we're very active also talking and working with our existing customers to adjust pricing. I don't want to be too technical, but as you may know, there was an inflationary period that is actually taking a token on our labor cost. So the increase in labor costs we're passing to our customer is significant increases to customers. So we're dealing with our customers to see how we can mitigate that. And so this is -- it's a little -- can I say this is there are periods in the life cycle of the business for the last year and maybe another maybe a couple of quarters, we are right in the middle of it, and I expect us to finish this part and renew our -- renew as much customers that are healthy for the business and also acquiring new customers for the long term. But we're working into it right now.
Zachary Evershed: And then on the M&A front, the balance sheet has improved quite a bit. How high would you take leverage for the right acquisitions? And is there a different level that you turn off the NCIB?
Claude Bigras: I don't comment very much on the NCIB, to be very honest. But for the -- for our debt level, we are in the mid-2s. So we have a lot of headways to work on. Depending -- I would say that our healthy place is probably from there to maybe in the mid-3s, maybe 4 if really worth it. But again, we're focusing on accretive transactions. There is no room for long-term investment returns these days. We're focusing on accretive transactions. And again, I don't want to be the teaser, but I can tell you that the team is working actively into this sector.
Operator: There are no further questions on the phone line. I will turn it over to Mr. Bigras for some closing remarks.
Claude Bigras: Thank you very much. Just in closing, I just want to make sure that we have a simple strategy, but yet that needs a lot of hell of a work to accomplish. In these times where there is uncertainties, where the real estate sector is a little bit into headwinds and everything, we're focusing on working with our clients, protecting margins, which is the most important part of the business. You know what, I can live with a 3%, 4% decline for a couple of quarters because we were not -- we were rigorous in the way we approach the way we create value in the business. So we are absolutely investing in sales and business development on top of it. So sales, business development, continuing to improve on our technical business, that does very well, and continue to protect the margin and develop on the business service side. Not complicated, but a lot of work. And again, in finishing, yes, we are feeling very confident on the M&A side. As I said earlier, we think that the multiples are getting into a more reasonable bracket for us to transact. So thank you very much for your time.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.